Operator: Good day, ladies and gentlemen, and welcome to the ATN International Third Quarter 2018 Earnings Conference Call and Webcast. [Operator Instructions] As a reminder, this conference call is being recorded. I would like to introduce your host for today's call, Mr. Justin Benincasa, Chief Financial Officer. You may begin.
Justin Benincasa: Great. Thank you, operator. Good morning, everyone, and thank you for joining us on our call to review our third quarter and 9 months 2018 results. With me here is Michael Prior, ATN's Chief Executive Officer. And during this call, I will cover the relevant financial information and Michael will provide an update on the business and outlook. Before I turn the call over to Michael for his comments, I would like to point out that this call and our press release contain forward-looking statements concerning our current expectations, objectives and underlying assumptions regarding our future operating results and are subject to risks and uncertainties that could cause actual results to differ materially from those described. Also, in an effort to provide useful information to investors, our comments today include non-GAAP financial measures. For details on these measures and reconciliations to comparable GAAP measures and for further information regarding risk factors that may affect our future operating results, I would ask you to refer to our earnings release on our website at atni.com or the 8-K filing provided to the SEC. And I will turn the call over to Michael for his comments.
Michael Prior: Thanks, Justin. As usual, I will start with some highlights for the quarter. So, overall results for the quarter were consistent with trends from the second quarter and our expectations for continued sequential improvement, driven primarily by the restoral of revenues in the Virgin Islands and growth in other international telecom markets. Results in the other segments were in line with expectations, including a year-over-year increase in the Renewable Energy revenues, reflecting the growth of India solar power revenue. In other developments, during the third quarter, we reached an agreement to sell our U.S. solar power facilities, we are granted additional one-time hurricane relief funds by the SEC and our main U.S. Telecom subsidiary was awarded $79 million in federal funding over 10 years through the CAF II auction process to deliver fixed wireless broadband and voice services in selected areas of the Southwestern United States. So with that, I will turn to more specifics by segment, starting with International Telecom. As noted in our release, we’re finally in the end phase of the post-hurricane network reconstruction in the Virgin Islands. The effect of this was clear in our quarterly results and we expect to continue to reconnect customers and build back wireline revenue as we got the Is and cross the Ts. The rebuild took longer than we hoped and cost more as well. Much of that due to the extraordinary circumstances, but the team has been and still is working very hard on the effort. From an investor rather than customer viewpoint, the obvious question is that, at what point will revenues for that market return to pre-storm levels? The short answer is we’re not certain, but we expect it will take a while. Our new network is performing at levels above the pre-storm experience as you might expect, given all the equipment and network tuning work. So we do think we will continue to regain customers and even gain market share over time. On the other hand, when customers have had such a long outage, they do not all reconnect. In some cases, the premise might no longer be occupied. In some cases, they may have found an alternative service, and in others, they’ve decided they no longer need a particular service, such as a home phone. So we think full recovery of wireline revenues for existing services is a best case scenario, and if it happens, will take some time. The last thing to note for the Virgin Islands was this quarter reflects, as I mentioned briefly above, an additional receipt of short-term funds from the FCC, which helped defray some of the heavy costs incurred to date, and we’re working to secure additional long-term funding to support the extraordinary cost of providing wireline services throughout the territory. In other markets in the segment, things are less dramatic and proceeding well. We’ve expanded and brought forward a fiber-to-the-home program in a couple of markets because of strong customer demand and good economics for the incremental builds. Resulting revenue gains have well outpaced declines from video and voice attrition. This trend is clear in the published subscriber numbers with segment wireline data subscribers up 10% over the past year excluding unknowns involved in the Virgin Islands. Wireless subscribers were essentially flat, and this is an area of focus moving forward as we think we should be able to grow these levels. Another area in which we think we can see significant gains in this segment for 2019 and beyond is expanding cash flow. Outside of the obvious benefit of finishing 2018 with its heavy spend on major and simultaneous network builds and upgrades, we think there are gains in operating efficiencies to be realized and we’ve a number of initiatives to improve productivity. That is necessary not just to improve economics, but to strengthen operational and competitive resiliency. Moving to U.S. telecom, results for this segment were broadly similar to what we expected, and there will continue to be additional pressure on year-on-year revenue comparisons in the next few quarters because of the recently closed sale and some smaller items such as the ending of a 5-year subsidy program for certain rural areas. As we’ve discussed in recent quarters, our legacy business faces more downward pressure than upside, but we've been active in positioning ourselves for future growth. In addition to the various initiatives we covered last quarter, as I mentioned earlier, we recently won an award of $79 million over 10 years through the Connect America Phase II auction, subject to satisfying the terms and conditions of the award and the program. There were 200 auction participants and we were the sixth largest winner. The award covers the build-out of broadband networks in many different rural communities in the Western United States, most of which are in or near our mobile operating area, and thus, easier for us to have visibility into the cost required to satisfy the build requirements. This was a great win by our team and we look forward to bringing more broadband connectivity to these underserved populations and helping to close the digital divide. In Renewable Energy, the main development was the transaction that we entered into in September to sell all of our U.S. solar power facilities for an estimated total value of over $120 million. If the deal closes in November as we currently expect, the transaction will lock in a very nice return on our original investment in December 2014. The market for this type of high-quality commercial/industrial solar portfolio is fairly robust at the moment. And while we’re content with holding the assets for the long-term, with our investment profile, we felt it made sense at this time to recycle the capital we deployed. In India, we also have good news to report, though of a more modest and incremental nature. The Vibrant Energy team has made various improvements in operating efficiency of the plants and operations. And at the same time, we’ve developed a fairly large pipeline of potential C&I projects in the market. We are in the midst of examining our options as to how to execute on that pipeline and how that fits into our broader strategy for the market and the sector. In other developments outside of our current operations, I know there's always a question as to the potential for investing our balance sheet capacity, which is substantial in relation to the existing portfolio. Last quarter, of course, I talked a bit about some earlier stage Greenfield telecom infrastructure opportunities we’ve launched or funded. These are proceeding well to date, but it is still early and we have no major milestones for those businesses to discuss at this time. But more generally, as noted in my opening remarks, we think there could be additional opportunities to invest in shared communications infrastructure, in particular. We bring much more than capital to that space, and we think there is a need in the industry to lower costs and eliminate unnecessary noncore network duplications. So in summary, we’re happy to be substantially done with the hard work of the network rebuild in the Virgin Islands and I want to thank our team for their relentless focus on this major project. We are also happy to be nearly done with another year of very high capital expenditures in our International Telecom properties and look forward to the prospect of generating higher cash flows and returns on those investments. Further, our team did a very good job on the solar asset sale. In securing critical additional government funding for the -- both for the VI network rebuild, and opportunistically for the expansion of our rural broadband network in the western United States. And that's it for me, Justin, over to you.
Justin Benincasa: Great. Thank you, Michael. Consistent with last quarter and given the impact of the 2017 hurricanes, the sales of various businesses and the contractual changes in U.S. wireless, I thought comparing consecutive quarters in 2018 will be more informative and can provide a better baseline for which to measure future progress. All the year-on-year -- year-over-year comparisons can be found in the earnings press release. For the third quarter, total consolidated revenues were $121.1 million, up 3% from the second quarter and 16% from the first quarter, showing significant sequential progress. Higher International Telecom segment revenues, which included the impact of special items were the major contributor to this growth along with modest increases in the U.S. Telecom segment. Consolidated adjusted EBITDA for the quarter were $38.9 million compared to $36 million in the prior quarter, again mostly driven by the International Telecom segment and adjusted EBITDA margin was 32% for the quarter. Looking at some specifics around each of our segments, starting with the U.S. Telecom. Despite the previously discussed contract resets with our carriers and customers and the sale of over a 100 -- of a 100 wholesale wireless sites that closed in early July, revenues for the quarter were $31.8 million, up from $30.3 million in the second quarter, as this is typically a somewhat seasonally higher quarter. And adjusted EBITDA was $13.5 million, up from $12.7 million in the second quarter. As Michael mentioned, we were very pleased to have been awarded up to $79 million in the Connect America Phase II auction and expect to start receiving some of that annual award in mid 2019. And as he noted, this will mitigate -- help mitigate the impact of the wind down of the Mobility Phase 1 award that took place this quarter that we won 5 years ago. In the International segment, revenues were $83.9 million, up from $81.5 million in the second quarter, and adjusted EBITDA was $28.6 million up from $27.6 million. In the third quarter, we received an additional payment of high cost USF restoration support in the U.S. Virgin Islands of $7.2 million following the $8.2 million payment we received in the second quarter. Also benefiting the quarter was wireline revenue growth through the upgrade -- from the -- through the upgrades and expansion of our broadband networks in Guyana and the Cayman Islands, which is contributing to the higher capital spending in 2018 that I will cover in more detail in a minute. Beyond the special payments from the FCC that we received in Q2 and Q3, we are seeing consecutive quarter revenue gains in the U.S. Virgin Islands as the majority of the reconnected customers return to a more normalized recurring monthly billing schedule and EBITDA growth this year in other markets. In Renewable Energy segment, revenues were $5.4 million in the third quarter 2018, down from $6 million reported in the second quarter, resulting in an unusually high quarter of service interruptions in the U.S. portfolio and slightly lower quarter revenue in India due to lower currency exchange rates. Adjusted EBITDA was $3.1 million for the quarter compared to $3.8 million last quarter. As previously announced and as Michael mentioned, we've entered into the agreement to sell the U.S. portfolio assets at an estimated transaction value of $122 million, securing a strong return on investment from our initial purchase. This will negatively impact quarter-over-quarter comparisons going forward. And as noted in the press release, these assets contributed $4.2 million of high margin revenue, but this transaction is aligned with our strategy of being return oriented and taking advantage of market opportunities. On a consolidated net income -- with -- our consolidated net income was $17 million, that was $1.06 per share. Other statement items -- income statement items to note was EBITDA in the quarter was negatively impacted by approximately $1.4 million from the inclusion of the early stage initiatives, we've mentioned. We had a net gain on the sale of $13.5 million from the Nebraska sites that we sold in the U.S. Telecom segment, and we recorded $1.2 million of other expenses related to FX losses in India and Guyana. The effective tax rate for the quarter was 25% and 31% year-to-date, which is where we expect the full rate -- we expect the rate to be for the full year. Also included in our operating income was $1.4 million of noncash stock-based compensation expense. Moving to the balance sheet. As of September 30, total cash and short-term investments were $161.4 million. Year-to-date cash from operations amounted to $98 million, and total debt outstanding was $92 million not including $52 million of debt reclass to liabilities held for sale, that is part of the U.S. solar transaction. Outside the spending on hurricane network repairs, capital expenditures year-to-date totaled $75.4 million, of which approximately $64 million -- $64.3 million was incurred by our International Telecom segment, $9.5 million by U.S. Telecom operations and $1.6 million in the Renewable Energy segment. As I mentioned last quarter, we've accelerated some of our growth capital spending planned for 2019 into 2018, in markets where we're seeing strong demand for our services and/or strategic benefits to moving more quickly with rolling out our broadband networks. We now expect that telecom capital expenditures will be closer to $90 million to $95 million for the full-year 2018. With that said, I will note that we’re extremely focused on reducing overall capital spending levels and closely monitor and measure the amounts being incurred for maintenance spending to support existing revenue streams and amounts incurred for new growth initiatives and expect 2019 to be a much lower spending year based on our current business portfolio. As we noted in the press release as of today, the rebuild of the storm-damaged network in the U.S. Virgin Islands is almost complete, but there will be some remaining capital expenditure costs coming through in the fourth quarter. And with that operator, we will turn the call over to questions.
Operator: Thank you. [Operator Instructions] First question comes from Ric Prentiss from Raymond James. Your line is open.
Richard Prentiss: Thanks. Good morning, guys.
Michael Prior: Good morning.
Richard Prentiss: [Indiscernible] seem to be doing okay up there?
Justin Benincasa: They do.
Michael Prior: The top payroll in [indiscernible] it's paying off.
Richard Prentiss: And they do a lot when there is [indiscernible] out there. You guys did a lot when there were a lot of strikes on you, obviously, the hurricanes put a lot of pressure. Help us understand then now that you are almost done with it, Michael you mentioned, you got to see how many customers are really there that you can reconnect as far as just maybe the business or home entity, alternate services, do they not need phone maybe anymore, where are you at in kind of understanding what the customer phase could look like as we look into 4Q and 1Q? Will we’ve a much better view of what all is really there now?
Michael Prior: Yes, I think we will continue to get a much sharper view, recently starting to get some data and that will increase week-by-week because you really look at the active subscribers in your system, then what people are really reconnecting for and at what rate.
Justin Benincasa: I don't think, Ric, that 4Q will be where we think it will be. Going into 2019 is more likely, because it's still a kind of influx in the fourth quarter here.
Richard Prentiss: Got you, got you. So [indiscernible] when you get the best view as far as who's all still there or not.
Michael Prior: Yes, yes.
Richard Prentiss: Okay. And then, Michael, I think you also mentioned that you've gotten the second wave of short-term FCC funds to defray the costs, but that you're working on additional long-term funding. Can you help us understand maybe the magnitude of what you're looking at or what kind of time frame you'd be looking at for long-term assistance?
Michael Prior: Sure. The FCC put out a notice on this or an order, I’m not sure of the right nomenclature, but it's about a $190 million -- just short of a $190 million of funding over 10 years for the territory. And there's a process to go through to qualify and determine how that the funding is allotted, and we think that we’re in a very strong position with respect to receipt of all or a very large portion of those funds just given the fact that we are the carrier of last resort and we've invested a lot of money building out network in -- partly in anticipation of some receipt of that. And there's -- it's just an expensive place to operate. And so this is essentially the old high cost program is going away and there was really a question mark pre-storm about what would the numbers be in the future, what exact levels, how would they apply it and different things. But for the Virgin Islands and for Puerto Rico, they issued these orders about setting aside a clear amount of funds and now it's up to allocate them.
Richard Prentiss: And that definition of territory, that doesn't include the Puerto Rico side. That is just the …?
Michael Prior: No, that number is the Virgin Islands number.
Richard Prentiss: Yes, okay. Okay. And help us understand the math on the CAF II funding. Justin, you mentioned that you might start receiving some of that, that you said in middle of '19. But how does that flow through from both a CapEx standpoint and a revenue standpoint?
Justin Benincasa: There will be a portion of it that is allocated to CapEx and we are still working through those numbers. But we think the lion's share of it will be coming through EBITDA. We're not sure if it's an OpEx offset or a revenue yet, we're still working through that, but it will be in EBITDA.
Richard Prentiss: Okay, okay. And that -- would it build to the $79 million spread over 10 years kind of run rate of $8 million a year by the end of '19, or is that -- when does it get up to kind of that run rate level?
Michael Prior: Yes, I think the way it works is as you build the areas and qualify the funds, the funds start flowing. And -- so we currently expect funds to flow end of first quarter, maybe early second quarter next year start to flow. And then we have to get 40% of the assigned locations across six states have to -- the build that to be completed by the end of year 3, 100% by the end of year 6. And you’ve various requirements as to the speed and latency that you’ve to deliver there, and that was all taken into account in our analyzing what we would bid in this reverse auction.
Richard Prentiss: Right. Right. Okay. And then the Renewable Energy side, you mentioned that the sale, most likely it will probably be in November, $4.2 million, I guess, is what the revenue in the third quarter was of that business, but high margins. So just trying to think through what Renewable Energy might look like as we look into '19 being a clean year then as far as how much -- should we assume that, that $4.2 million is $17 million annually comes out of revenue, or just trying to think what the business looks like as the U.S. goes away and you're left with India.
Justin Benincasa: I mean, it's really just -- it's really just India going forward. So if you back -- kind of take $4.2 million out of the quarter, you get an idea what India is looking like. And then there is some platform costs that are going to be taken out as well, but just -- it will be fairly small at the end of the day what’s left in India, but positive. We are positive, yes. And in fairly high margins as well, so …
Richard Prentiss: Right, right. But still expect you to report it as a segment?
Michael Prior: Yes, that's right. I mean, I think, we are -- I mean, we’ve as I mentioned, we’ve developed a fairly significant additional pipeline in India and we are still deciding what’s the best strategy going forward. But right now sitting here today, we look at this sector, renewable energy, and we still think there's opportunity for us to expand and to invest money on an attractive risk reward basis. So for now, we always could change that evaluation I suppose like anything, but right now that’s our expectation.
Richard Prentiss: And last one for me, I think, Justin, you mentioned that there was $15 million of the debt had been moved into the held-for-sale side. When you sell the business for $122 million, would that imply then you're going to get another $72 million in cash spend? And if so, obviously, Michael, [indiscernible] that the balance sheet is even more cash heavy and kind of thoughts about time frame to put it to work. I know you shared the thought that there could be some shared infrastructure that looks interesting, but is that the right way we're thinking about it?
Michael Prior: Yes. I think the numbers are a little -- the number, net cash, is still a little high, $58 million of debt, so …
Justin Benincasa: Yes, so if you're doing the math right.
Richard Prentiss: $58 million was the debt?
Michael Prior: $58 million was the debt, yes.
Richard Prentiss: Okay. Sorry.
Michael Prior: Yes, so if it's $122 million, it would be $64 million, but there's -- there will be adjustments and things like that at close. But round numbers, call it, $60 million. And I think you are right that, that is in the windshield when I said balance sheet capacity. And I will repeat what I said, I mean, I think -- I feel better now. It could be wrong, right, because it's kind of a feeling, but I feel better now than I have for a little while in terms of our ability to put that capacity to work. I just think there's a number of factors that will continue to create opportunities in addition to some of the things we’ve launched, where if they’re successful, there's quite a good runway of investment opportunity in those projects or businesses.
Richard Prentiss: Okay, great. Thanks guys.
Michael Prior: Sure.
Operator: Our next question comes from Hamed Khorsand from BWS Financial. Your line is open.
Michael Prior: Good morning, Hamed.
Hamed Khorsand: Hey. Just I wanted to know, how much of that revenue do you think you could keep when the subsidies go away? I mean, do those -- do your subscribers still are able to pay you anything?
Michael Prior: Which market?
Hamed Khorsand: In the U.S. market, you are talking about some of the subsidies going away this quarter, right? So I guess, it's really just helping the customer pay you. So do they …
Michael Prior: No, no those -- no, Hamed, those are different -- that's a different program. That was the Mobility Fund that basically provided funding directly to operators like us to build out certain areas over a 5-year period.
Justin Benincasa: So that was an OpEx offset for us in over the last 5 years, as opposed to our revenue, our subscriber revenue.
Hamed Khorsand: Got it. Okay. And then on the Guyana part, what are you seeing as far as just the allocation of subscriber increases? Is there all commercial customers? Are you -- is that what most of that revenue increase is coming from with the broadband there?
Michael Prior: No, it's mostly consumer. It's some of each, but it's mostly -- it's more consumer.
Hamed Khorsand: Okay. Are you able to raise prices as the commercial part increases?
Michael Prior: We are not as focused on that as far as prices for existing services. And in fact, if anything, we’ve been providing, more speed and capacity for the same price there and sometimes lower prices, but what we do believe is -- we believe that, that market is very early in data demand in a number of areas, including the enterprise side. And so if the economy grows the way we think it will, we think that, that segment of the market should increase. And -- but it's not just connectivity, it's the types of data services, value-add services and so on. So I think it's -- there's definitely opportunity there going forward.
Hamed Khorsand: Okay. And my last question was just with the increase in cash you were just talking about. Would you be looking at just staying in the mold of telecom and the different ventures you've already investing, or are you looking for off-the-wall kind of ventures like that renewable that you did a few years ago?
Michael Prior: I'm not sure I called renewable off-the-wall, but I take …
Justin Benincasa: That’s not telecom.
Michael Prior: … [indiscernible]. That’s right. I take that's roughly your question. I think we -- right now, we think there look to be plenty of opportunities within telecom, particularly shared infrastructure and in renewable energy. So at this time, we are not seriously contemplating anything that would bring us outside of that -- those areas.
Hamed Khorsand: Okay. Thank you.
Michael Prior: Okay.
Operator: Our next question comes from Allen Klee from Maxim Group. Your line is open.
Michael Prior: Good morning, Allen.
Allen Klee: In India, my understanding in the past as you were waiting -- well, one of the things you were waiting for was getting project debt financing to take it to the next level. Where does that stand?
Justin Benincasa: It's still a work in progress. We are still anticipating we will get that. We are doing some kind of restructuring basically in advance of it. And so I know we've been saying it, but it's still hopefully, still coming.
Allen Klee: But it's not -- your growth there with the pipeline and the opportunities you mentioned is not dependent on that or is it?
Michael Prior: It is, it is to some degree. I mean, I think -- we think that's necessary to have that, the right capital stack on existing projects to move forward on new projects.
Allen Klee: Okay. And then for the shared telecom services infrastructure investments you've made, could -- I know you talked about it last quarter, but could you also maybe just provide a little of what you think the opportunity, the total addressable market or where do you think your opportunity can be for these investments?
Michael Prior: I mean, in sizing, I think it's very large personally. I think the carriers have to get a lot more efficient as a group in network spending, particularly on sort of the commodity aspects of the network, and I think that's for reasons in order to be able to invest in really developing the next layer. And by developing the next layer, I'm not saying add speed or capacity. I'm saying develop the business to deliver more products and services, develop new use cases. So, I mean, to me, 5G is mainly about that and so -- and it's a really big bets will have to be made. And you just look at any other infrastructure business at the point it becomes somewhat of a commodity, you've got to eliminate excess duplication to take cost out of the business and ultimately be able to continue to deliver more to customers without ever -- you just can't keep flowing that cost on to customers as we've already seen for the carriers. So that’s one aspect. And then I think there's a part of me that wonders that in the long run is there some separation between the retail relationship and the network ownership and I think there's a lot of reasons that could happen, which, if that happens, you need to get -- you really need to hurry up and get to a more efficient network layout. So when I think of those concepts and we think about them a lot here, we think there's opportunity to help bring about that shift and invest in that. And you already see that in a number of areas, it started a long time ago. The tower businesses, data center businesses, undersea cables, sort of things that people have gotten used to talk about, I think that extends. And so we’ve some investments in various areas of that, that we think are particularly useful for sort of a neutral host environment bringing down the cost and allowing capabilities to extend for less, right? So I can't quantify that, but I think it's quite a large opportunity and I think more the question of this is how much of the opportunity do we win.
Allen Klee: Okay. Thank you. My last question is in U.S. Telecom with the Connect America Phase II money. How should we think about the $79 million over 10 years? How that -- the timing of how that and the potential that, that translates into revenues? And do we think that the margins you get on that revenues is t similar to what you've got in the U.S. Telecom segment in the past? Thank you.
Michael Prior: Yes, I take that first part. In terms of the actual flow of that $79 million, I'd rather not try to give you a layout now because there are still some uncertainties around that. There's some rules to be written, there's some analysis on our side. So I'm not comfortable predicting the exact timing of that. I will let Justin answer the second part.
Justin Benincasa: Yes. I mean, it's really of what -- of that, what does come through the P&L is basically either a 100% expense offset or a 100% revenue -- margin revenue, right? It's just a -- it's a pure EBITDA number that would come through.
Michael Prior: But some piece might go through cash flow statement in terms of offset of capital.
Justin Benincasa: Yes, some pieces are being offset to capital expenditures and that's what we’ve to figure out, though, is how much network spend do we need to meet the minimum requirement.
Allen Klee: Okay. Thank you so much.
Michael Prior: Yes.
Operator: Our next question comes from Sergey Dluzhevskiy from GAMCO. Your line is open.
Michael Prior: Good morning, Sergey.
Sergey Dluzhevskiy: One question on long-term funding for U.S. Virgin Islands. You mentioned that the opportunity over 10 years is about $190 million. How much is the incremental over the current level of support that goes away? Is it about $20 million or $25 million over 10 years?
Michael Prior: Let me see. That's, yes, little higher than that is the total opportunity. So right now, I think it's about a little more than $16 million a year that we're receiving under that program, the previous program.
Sergey Dluzhevskiy: Okay. Okay. And it could be $19 million basically.
Michael Prior: Yes, that's right.
Sergey Dluzhevskiy: Okay. And my second question is on the investments that you’ve made last quarter and you're continuing to look at additional shared infrastructure investments. Maybe out of the investments that you made, if you could comment which ones do you think could have a more immediate impact or more immediate growth opportunity for you? I guess, it sounds some could take longer to develop. And maybe if you could comment on additional areas within shared infrastructure that could be interesting depending on valuation for you?
Michael Prior: Yes, I -- it's a little -- in terms of growth, in terms of putting capital to work and perhaps revenue lines, I think revenue could come faster on the purpose build -- what we sort of think of as the build to suit fiber business, I think that could come faster because you get a project and it will execute immediately. The in-building thing, Geoverse, that we talked about I think the growth could come very fast in terms of deploying the network if we are able to land the right contracts, but that might be a little bit slower and they're just in the near-term in terms of where it goes. It's a little hard to predict exactly on that. And then, I think, more broadly, we also have that investment, minority investment, in Australia, shared infrastructure. I think there's a need there to continue to build out. I think the main areas overall that we’re looking at are sort of the passive infrastructure -- more passive infrastructure from dark fiber to towers, communication towers and sites to the more active infrastructure, so that's one sort of area. And the other area would be sort of much more managed network pieces from shared land [ph], which we effectively do now already in the United States with -- under Commnet and is effectively a piece of what we do -- we're looking to do with Geoverse and also in other markets. So I think it comes in those different categories and there's a number of players pursuing each of those, too. It's not -- I think, there are others who see the same opportunities. And some, I think, we’ve some know-how differentiators and in some, I think, we’ve even some technology advantages such as in Geoverse, but it is very much a race to build out to the opportunity.
Sergey Dluzhevskiy: And then my last question is kind of looking into your International Telecom business, do you see kind of new areas where -- or new service types that you can offer in those markets, whether it's security, whether it's managed services that potentially could add to the growth profile of those businesses and which of those areas you’re already working on and which could be a possibility for you in the future?
Michael Prior: Yes, it's a good question, Sergey. We’re looking at those areas you've mentioned, right, and I think there will be some of -- each of those, I think they’re more -- overall, they’re more likely to be lifting the larger -- the more fast growing economies that we're in, so Guyana or Cayman than some other areas, but I think there's opportunity in the region as well there. That's an interesting factor is that a lot of these markets do not -- have not had the same adoption of -- or sell-through of a number of those types of add-on tangential services that you've seen in markets like the United States. And I think the same applies by the way, to some of the rural markets, right. So we are doing things, it's relatively small today, but we are doing some enterprise deals in rural areas in United States and private LTE solutions for industrial customers and things like that, that we think could continue to grow.
Sergey Dluzhevskiy: Thank you.
Operator: I'm showing no further questions at this time. I would now like to turn the call back over to management for closing remarks.
Justin Benincasa: I will just say thank you, everybody and we will see you at the fourth quarter earnings call. Take care.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may disconnect and have a wonderful day.